Operator: Hello, and thank you for standing by for Tuniu's 2025 First Quarter Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference call, the Director of Investor Relations, Mary.
Mary Chen: Thank you. and welcome to our 2025 first quarter earnings conference call. Joining me on the call today are Dunde Yu, Tuniu's Founder, Chairman and Chief Executive Officer; and Anqiang Chen, Tuniu's Financial Controller. For today's agenda, management will discuss business updates, operation highlights and financial performance for the first quarter of 2025. Before we continue, I refer you to our safe harbor statement in the earnings press release, which applies to this call as we will make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. I would now like to turn the call over to our Founder, Chairman and Chief Executive Officer, Dunde Yu.
Dunde Yu: Thank you, Mary. Good day, everyone. Welcome to our first quarter 2025 earnings conference call. In the first quarter, our core business maintained steady growth with revenues from packaged tours growing by 19% year-over-year. The domestic travel market demonstrated consistent growth momentum with a notable surge during this year's spring festival. For outbound tours, despite headwinds faced by some Southeast Asian destinations, long-haul destinations continued to perform well. Thanks to the diversity of our products and destinations. Customers had the flexibility to choose between domestic offerings and nearby international options. As a result, our outbound tour transaction volume achieved double-digit year-over-year growth in the first quarter. This year, we have adopted more proactive strategies to respond to changing market demands. First, by leveraging our differentiated products and high-quality services, Tuniu is able to attract premium customers and increase the repurchase rate risk. Also by capitalizing on our supply chain advantages, we have further reduced procurement costs, allowing us to return value to customers and offer more competitively priced products to attract a broader customer base. We remain committed to open collaboration, introducing mutually beneficial policies to attract partners, explore new sales channels and work closely with the upstream and downstream segments across the industry chain to better serve our customers. Moreover, we are embracing new AI technologies to enhance the customer experience and our internal operation -- operational efficiency through innovation. Now I'd like to walk you through our strategies in more detail. First, differentiate [ AK ] and high-quality products have always been one of Tuniu's core competitive advantages. Our in-house developed new tool product offers a unique position in the market as a premium organized tour product. Since its launch over a decade ago, many of new tours loyal customers have involved from first-time travelers to experienced travelers. To meet the evolving demands of our customers, we continue to enhance the travel experience by implementing a door shopping policy throughout the trip, and some even including ultra-luxury hotels and the [indiscernible] style dining. Meanwhile, we are expanding the variety of destinations and product offering. In April this year, New Tour launched its first tour to the 3 countries of the Caucasus region, which received a 100% satisfaction rate. Secondly, it responds to increasingly diverse customer needs, we have introduced a wider range of products, offering good value for money to attract more price-sensitive travelers. For example, our new select products have expanded the outbound tour offerings to cover a broader array of international destinations, providing better options for customers, valuing cost effectiveness. With more competitive pricing, customers can now explore additional destinations within the same budget, an option that strongly appeals to travel fans, particularly younger fans. In the first quarter, transaction volume for our new select products increased by over 80% compared to the previous quarter. In terms of our sales, we continue to explore and expand into a diverse range of channels. In the first quarter, our live streaming channels maintained strong growth with both transactions and the verification volume achieving double-digit year-over-year growth. The contribution of live streaming to the company's total transaction volume increased from 10% in the first quarter last year to over 15% this year. In 2025, we expanded our live streaming product offerings beyond the traditional hotel plus scenic sports packages to include the personalized services such as photography and private tour guide, catering to more niche customer needs. In terms of packaged tour sales, we continue to promote destination-based live streaming. In March, our in-house live streaming shows partnered with several travel influencers to launch a 21-day on-site live streaming campaign across 10 Islands in the Maldives. This campaign generated over RMB 100 million in total payment volume, helping Maldives-related products reach Chinese customers more effectively and the boosting overall increase in travel to the Maldives. Regarding offline store expansion, as of the end of the first quarter, Tuniu has opened nearly 300 off-line stores, primarily located in high demand source markets, popular tourist destinations and the major transportation hub cities. For example, in March of this year, we launched 10 new stores in a single day in Chengdu. Our offline stores feature travel products tailored for in-person promotion, helping to create a seamless integration between online and offline services. We also organized in- store events and other marketing activities to strengthen customer engagement and loyalty. Additionally, these off-line stores supports our localized procurement efforts and allow us to share resources and grow with our supplier partners, contributing to the coordinated development of the local tourism industry. In addition, we are actively developing sales channels such as traffic platforms and corporate clients, offering tailored products to meet their specific needs. For example, sales of single items such as flight ticket and hotel bookings have grown rapidly on traffic platforms. For corporate clients, we provide customized growth tours as well as individual and family location packages to complement traditional business travel, addressing both corporate needs, including business trips and the team building as well as personal location demand. In terms of technology, in early April, Tuniu launched our self-developed travel AI agent, AI assistant Xiao Niu. The assistant integrated vertical travel application scenarios with open-source large language models to provide customers with one-stop solve services, including smart search, automated price comparisons, personalized recommendations and dynamic packaging. Once customers find a product they like, they can book it directly, eliminating pop-up bundling offers and ensuring a transparent and efficient booking experience. During this year's Labor Day holiday, we observed a noticeable increase in user engagement with our AI assistant, particularly in searches for flights, train tickets and hotel bookings. Tuniu has assembled a team of professionals with deep expertise in both technology and the travel industry, enabling our R&D efforts to more effectively address key customer pain points. Looking ahead, customers will be able to leverage AI to plan personalized itineraries with greater ease, making customized travel more convenient, efficient and accessible. In conclusion, Tuniu remains firmly committed to our mission of making travel easier by staying closely aligned with the evolving customer needs and continuously expanding our product offerings and sales channel options. With the support of AI technology, our service is becoming more intelligent, efficient and transparent. We will continue to drive innovation in both products and technology to enhance the customer experience and satisfaction, unlock the company's growth potential and pursue long-term sustainable development. I will now turn the call over to Anqiang, our Financial Controller, for the financial highlights.
Anqiang Chen:
Financial Controller: Thank you, Dunde. Hello, everyone. Now I'll walk you through our first quarter of 2025 financial results in greater detail. Please note that all the monetary amounts are in RMB unless otherwise stated. You can find the U.S. dollar equivalents of the numbers in our earnings release. For the first quarter of 2025, net revenues were RMB 117.5 million representing a year-over-year increase of 9% from the corresponding period in 2024. Revenues from packaged tours were up 19% year-over-year to RMB 99 million and accounted for 84% of our total net revenues for the quarter. The increase was primarily due to the growth of organized tours. Other revenues were down 26% year-over-year to RMB 18.5 million and accounted for 16% of our total net revenues. The decrease was primarily due to the decrease in the commission fees received from other travel-related products. Gross profit for the first quarter of 2025 was RMB 69.3 million, down 15% year-over-year. Operating expenses for the first quarter of 2025 were RMB 80.1 million, up 15% year-over-year. Research and product development expenses for the first quarter of 2025 were RMB 14.5 million, up 12% year-over-year. The increase was primarily due to the increase in research and product development personnel-related expenses. Sales and marketing expenses for the first quarter of 2025 were RMB 43.2 million, up 17% year-over-year. The increase was primarily due to the increase in sales and marketing personnel-related expenses and promotion expenses. General and administrative expenses for the first quarter of 2025 were RMB 22.8 million, up 11% year-over-year. The increase was primarily due to the impairment of property and equipment that recorded in the first quarter of 2025. Net loss attributable to ordinary shareholders of Tuniu Corporation was RMB 4.7 million in the first quarter of 2025. Non-GAAP net income attributable to ordinary shareholders of Tuniu Corporation, which excluded share-based compensation expenses, amortization of acquired intangible assets and impairment of property and equipment, net, was RMB 0.8 million in the first quarter of 2025. As of March 31, 2025, the company had cash and cash equivalents, restricted cash, short-term investments and long-term deposits of RMB 1.2 billion. Capital expenditures for the first quarter of 2025 was RMB 0.8 million. For the second quarter of 2025, the company expects to generate RMB 131 million to RMB 136.8 million of net revenues, which represents a 12% to 17% increase year-over-year. Please note that this forecast reflects Tuniu's current and preliminary view on the industry and its operations, which is subject to change. Thank you for listening. We are now ready for your questions. Operator?
Operator: [Operator Instructions] We have a first question from the line of [ Lee Dongyu ], a private investor.
Unidentified Analyst: Well, my first question is about your product strategy. Would you please give me more color on why and how the company offers more competitively priced products in the first quarter? And how does the price strategy impact to your revenues and profits? Moreover, my second question is about the outlook for the second quarter. Will you be profitable in the second quarter? That's all.
Dunde Yu: Thank you for the questions. First of all, I shall see quality takes priority in our strategy. High-quality products are our core and help us build a large loyal customer base. We see different needs from customers, some prefer enjoyable experience, while others like favorable price. We need to diversity of -- diversify our price range to attract different customer growth, competitively priced products attractive among new customers and the customers from lower-tier cities. We also observed that competitive pricing helps enhance repurchase. With favorable prices, customers can now plan more trips within the same budget. This year, the market competition is getting more intense. Apart from through OTA, travel products are accessible to customers via many channels, such as live streaming, social media and community as well as off-line stores. So this year, we provide more competitively priced products to compete with other channels and consolidate our market share to implement our strategy. Firstly, we consolidate the supply chain, through centralized and direct procurement, we are able to get more favorable resources and lower the purchasing cost. Secondly, we use technical methods, including AI technology to assist product pricing, ensuring the competitiveness of our price. On product side, this year, we increased the supply of new select products, which is an affordable product line, we launched last year. On sales side, we will launch various promotions and the discounts to our customers. For example, our membership cardholder can enjoy discounts while booking at Tuniu. Competitively priced products help us attract more customers contributing to the increase of our GMV. In the first quarter, transaction volume for our new select products increased by over 80%, compared to the previous quarter. As we return value to our customers, this year, our gross profit ratio will be lower compared to the previous year. We will adopt measures to further control internal costs and try to achieve profitability for the second quarter. Thank you.
Operator: [Operator Instructions] We have no further questions at this time. I will now turn the call over to Tuniu's Director of Investor Relations, Mary, for closing remarks.
Mary Chen: Once again, thank you for joining us today. Please don't hesitate to contact us if you have any further questions. Thank you for your continued support, and we look forward to speaking with you in the coming months.
Operator: Thank you. Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.